Operator: Greetings and welcome to the Summit Materials Third Quarter Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Noel Ryan, Investor Relations. Thank you, Mr. Ryan. You may begin.
Noel Ryan: Good morning and welcome to Summit Materials third quarter 2016 results conference call. With me in today’s call are Summit CEO, Tom Hill and CFO, Brian Harris. We issued a press release before market opened this morning detailing our third quarter 2016 results and published an updated supplemental workbook highlighting key financial and operating data, which can be found in the Investors section of our website at summit-materials.com. This call will be accompanied by our third quarter presentation, which is also available in the Investors section of our website. I would like to remind you that management’s commentary and responses to questions on today’s call may include forward-looking statements, which by their nature are uncertain and outside of Summit Materials’ control. Although these forward-looking statements are based on management’s current expectations and beliefs, actual results may differ in a material way. For a discussion of some factors that could cause actual results to differ, please see the Risk Factors section of Summit Materials annual report on Form 10-K filed with the SEC on February 22, 2016. Additionally, you can find reconciliations of the historical non-GAAP financial measures discussed in today’s call in this morning’s press release. Today’s call will begin with remarks from Tom Hill. He will provide an update on our business and market conditions in the third quarter, followed by a financial update from Brian Harris. At the conclusion of these remarks, we will open the line for questions. With that, I will turn over call to Tom.
Tom Hill: Thank you, Noel and welcome to today’s call. Let’s begin by turning to Slides 3 and 4 of the conference call presentation deck. Summit generated solid third quarter results as supported by continued execution of our materials based growth strategy. Net revenues, gross profit, adjusted EBITDA and net income all increased on a year-over-year basis in the third quarter driven by continued organic growth and average selling prices on aggregates and cement. Including acquisitions, total sales volumes increased across all our lines of business in the quarter. Gross profit margin increased 290 basis points on a year-to-year basis to 40.3% in the third quarter, while adjusted EBITDA margin increased 220 basis points to 30.4%. Improved margins were driven mainly by higher materials pricing and lower costs resulting from improved productivity. Adjusted net income increased by more than 15% to $73.5 million, resulting in adjusted EPS of $0.73 per adjusted diluted share. Please turn to Slides 5 and 6. Aggregates price per ton, including and excluding acquisitions, increased 8.1% and 4.6% respectively, while cement prices increased 7%. Strong growth in materials selling prices served to more than offset organic declines in materials sales volumes. The decline in third quarter organic sales volumes was attributable to a combination of unusually wet weather in Texas and our other core markets, tough prior year comparisons in Vancouver given the completion of several large 2015 sand projects and challenging highway markets in Kansas and Kentucky due to public budgetary issues. On an organic basis, aggregate volumes were down 3.3% year-to-date through the third quarter. However, excluding the impact of Vancouver, organic aggregate sales volumes increased on a year-to-date basis, a good illustration of the strength in underlying demand evident in most of our markets. As indicated on Slide 7, precipitation levels in our top 5 states were well above historical levels in the third quarter, particularly in our Texas market where heavy rains and flooding affected operations in the period with total number of days with precipitation increased materially in Austin, Dallas and Houston impacting our operations. Total inches of rainfall were also well above the long-term historical average in each of our top 5 states, except for Utah where our aggregates business actually posted organic volume growth in the period. And our top MSAs, total rain inches were nearly 20% higher versus the historical average. We continued to make progress on price and margin growth during the third quarter as illustrated on Slide 8. Gross profit margin increased across all lines of business year-to-date through the third quarter, a trend that continues into the fourth quarter. Aggregates margins have increased by 560 basis points on an LTM basis when compared to the prior year period. Our integrated materials based model remains a key competitive advantage for Summit, one that provides surety of demand, superior pricing and consistent margin capture at each stage of the value chain. As illustrated on Slide 9, we completed three small bolt-on acquisitions during the third quarter in addition to a fourth in October, all of which we expect to begin contributing meaningfully to earnings beginning in 2017. In July, we acquired Ruston, a ready-mix concrete supplier in Oklahoma that complements our existing business in Northeastern Texas. In August, we acquired 2 Mississippi River materials distribution terminals from the NGL companies. This transaction expands our local cement distribution network into the Central Louisiana markets. Also on August, we acquired RT Johnson, a Kansas based asphalt and construction services business that will result in incremental aggregates pull-through. In October, we acquired Midland Concrete, a ready mix plant operation in Midland Texas that will complement our existing turbines operations. Please turn to Slide 10. Approximately 40% of Summit’s net revenue is derived from the public highway market, which we believe is poised for cyclical upturn entering 2017. The 5-year, $305 billion Federal Highway Bill or FAST Act includes $230 billion for highway spending. Federal funds, on average, provide more than half of the state DOT capital outlays for highway and bridge projects and we anticipate a 2% to 3% per annum increase in these annual authorizations. There is still in conjunction with many state initiatives to increase highway funding will result in steady increased spending on highways over the next few years. Within Summit’s portfolio, Kentucky, Kansas and Texas have traditionally been among the state markets most weighted towards highway spending. Our Northeast Texas business, which is engaged in aggregates, assets and preview construction, had a very strong year thus far benefiting from significant incremental demand resulting from the lines associated with Proposition 1. Our Kentucky and Kansas businesses had faced budgetary delays this year with regard to public infrastructure spending on new projects. However, we believe Kentucky will recover in 2017 given the passage of a new, albeit delayed, 2-year Highway Funding bill earlier this year. Approximately 60% of our net revenues derived from project residential and nonresidential construction, which compliments our public infrastructure market exposure. Both residential and nonresidential activity remained robust through most of our markets, although the pace of recovery back towards pre-recession levels continues to vary by region. On the residential side, U.S. single family housing starts increased by 5.4% in September 2016, with improvement evident across most of our major markets. According to the latest monthly residential building permit data, Utah, Missouri, Kansas and Kentucky have all experienced significant year-on-year new permit growth, which is encouraging. Utah continues to see significant demand growth with one of the lowest unemployment rates of any state in the country. With interest rates near historical lows and sustained improvement in employment levels, we expect housing markets to revert back to more normal levels of 1.4 million to 1.6 million starts per annum over the next several years. On the non-residential side, U.S. spending has increased 4.3% year-to-date when compared to the prior year period according to census data. Non-residential activity, especially the light commercial that we primarily service, typically lags residential construction by 1 to 2 years. Entering 2017, we anticipate an overall improvement in highway, residential and non-residential spending. Texas appears to be in the latest star of the current private construction cycle with prospects for new cycle to begin in late 2017. Elsewhere, the Utah, Missouri, Kansas and Kentucky markets appear to be in the earlier stages of the construction cycle. In our cement markets, we anticipate positive organic volume growth in 2017 as supported by our access to multiple end markets along the Mississippi River. On Dallas, Summit is exposed to geographically diversify its stable growth markets that we expect to support superior performance into the coming year. With that, I will turn the call over to Brian for a review of our third quarter financial metrics.
Brian Harris: Thank you, Tom. Summit had an outstanding quarter across multiple key financial metrics. Adjusted EBITDA increased by more than 20% to $146.2 million in the third quarter, while adjusted net income increased by 15.8% to $73.5 million, about $0.73 per adjusted diluted share. Including the benefit of completed acquisitions, adjusted EBITDA was higher across all operating segments in the third quarter of 2016. Please turn to Slide 11. In our East segment, net revenue increased nearly 30% year-on-year in the third quarter driven by contributions from acquisitions completed in 2015 and 2016 as well as the addition of large ready-mix concrete projects in Kansas related to wind farm activity. Adjusted EBITDA increased 41% in the East segment during the third quarter compared to the prior-year period. In our West segment, net revenue increased 1% year-on-year as favorable market conditions in the Intermountain West were partially offset by temporary softness in the Texas market, due mainly to unusually wet weather and lower volumes in Vancouver. We generated 7% year-on-year growth in adjusted EBITDA during the quarter due mainly to higher sand prices and improved cost control. In our Cement segment, net revenue decreased by 24% year-on-year as supported by positive pricing following the Davenport acquisition in July 2015. Already experienced mixed weather conditions during the third quarter, performance improved and demand strengthened during September. Adjusted EBITDA increased 28% during the third quarter compared to the prior year period, supported in part by improved productivity. Please turn to Slide 12. Given Summit’s significant growth since inception, we are very pleased with our improved quality of earnings in recent years. Two key measures of earnings quality include growth in margin capture and growth in free cash flow generation, both of which are listed on this slide. As you can see from the data, Summit has continued to generate consistent margin expansion in recent years as both organic and acquisition related growth has positioned us to realize improved economies of scale and diversification across both stable geographies and lines of business. To that end, gross profit margin and adjusted EBITDA margin have increased to record levels on a year-to-date basis as underpinned by increased selling prices, continued cost discipline and productivity gains. Further to the point, our free cash flow on a trailing 12-month basis is more than $80 million through the third quarter 2016, a significant improvement over the prior year period despite higher than normal levels of discretionary net capital spending, which typically runs between 20% and 30% of total net CapEx. On an LTM basis, through the third quarter, Summit had total capital expenditures of $141.2 million compared with $88.9 million in 2015. On Slide 13, we see a breakdown between discretionary and maintenance capital spending with the historical split being two quarter maintenance and one quarter discretionary. Capital spending as a percentage of net revenues is elevated in the current year due to expenditures on new aggregate plants and upgrades to our existing facilities in Kentucky and South Carolina. Over time, we continue to target total capital expenditures at 6% to 7% of net revenues. Total net leverage, as defined by our total net debt divided by trailing 12-month further adjusted EBITDA, declined from 4.5x to 4.3x during the quarter. We currently anticipate that total net leverage will decline to 4x by year end 2016. At third quarter end, Summit had cash on hand of $31.6 million, total outstanding debt of $1.5 billion and our full revolving capacity of $209.4 million available to us. Annualized cash interest on net debt outstanding currently stands at approximately $87 million. Turning to Slide 15, we are reiterating our full year 2016 adjusted EBITDA guidance to be in the range of $360 million to $370 million, which includes the successive period for acquisitions completed thus far in 2016. [Indiscernible] to this full year 2016 guidance, total adjusted EBITDA is forecasted to be in the range of $90 million to $100 million for the fourth quarter of 2016. Our full year 2016 gross capital expenditure guidance continues to be in a range of $150 million to $170 million, consistent with our prior forecast. And with that, I will turn the floor over to Tom for his closing remarks.
Tom Hill: Thanks Brian. On behalf of our entire senior leadership team, I want to extend my gratitude to our valued employees for their ongoing efforts to position Summit as the leading materials based company. We are pleased with our third quarter performance and believe Summit is well positioned in the current construction cycle, which remains in the early innings. Our materials based strategy and integrated operating model are resulting in superior performance as evidenced by the significant growth in margins and free cash flow generated on a year-to-date basis. We look forward to providing the public with a strategic outlook and investment thesis at our first ever Investor Day in Houston on November 15. The event will be available via webcast and all presentation materials available at the event will be posted in the Investor section of our website. We look forward to having you join us at this important event, which will include members of our senior leadership and operating company management. With that, I would like to open the call for questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Trey Grooms with Stephen. Please proceed with your question.
Trey Grooms: Good morning gentlemen.
Tom Hill: Hi Trey.
Trey Grooms: Congrats on a solid show on great quarter. So you guys have obviously had very impressive margin improvement here, especially in the face of a challenging volume environment, first what are the key drivers there, how are you guys pulling that off and how do we think about the sustainability or continued margin expansion going into the next year, especially if we were to see some organic volume improvement in ‘17?
Tom Hill: Trey, we certainly make it sustainable, both on the price and on the cost front. You have to remember that we have only owned our companies at an average of 2 years to 2.5 years. So we do believe that there are still significant cost improvement opportunities in all our businesses and the underlying pricing environment pretty much across all our products is quite good. So we are very optimistic for continued margin improvement going forward.
Trey Grooms: Okay. And I guess looking at the improvements that you have seen, excuse me, this quarter and in prior quarters as well, what are – is that mostly coming from synergies that you guys are finding and pulling out, is it more kind of just – or more kind of just blocking and tackling every day kind of cost save touched up?
Tom Hill: Well, it’s a combination. I think it’s really what our integrated model produces. We block and tackle every day, working on costs. We obviously have had some tailwinds on hydrocarbons. But we have had really significant improvements in productivity in our aggregate, in our cement businesses and our integrated vertical model has produced good margin enhancement at each stage of the vertical. Brian, any…
Brian Harris: Yes. In the quarter, diesel was about $2 million year-on-year improvement and that brings us to about $7.3 million on diesel for the year. As you know, we buy forward, usually about 1 year in advance. So we have already locked in a portion of our 2017 requirements. So that continues to be a tailwind for us. And then all the things that Tom mention repair and maintenance costs, some of the tools and productivity improvements that we will continue to drive into the business, we should see those sustained for the foreseeable future.
Trey Grooms: Great. And then inter-quarter, can you – I know you kind of touched a little bit on September, but can you talk about how the organic volumes kind of trended through the quarter and then into October. And then I guess as a follow-on to that, with the Vancouver kind of – when did that big project roll off anniversary and how do we think about that in the context of organic growth?
Tom Hill: Yes. Certainly, during the quarter, it’s a tough start to the year from a weather perspective. I think everybody saw that July and August were so very wet months across much of the country actually, not just in Texas. Obviously, that gradually improved during September and has continued into the fall here, so generally improving weather conditions are helping with the organic volumes. In terms of the Vancouver situation, as we said on the last call, the second tough comps get steadily easier throughout the rest of the year. We have seen an improvement there year-on-year in the sand volumes. And so we would expect that to normalize and be balanced out by the end of 2016.
Brian Harris: Yes. And our Vancouver operations – our team has really produced very good results, again, emphasizing both price and cost. So, although volumes are down over 20%, our margins and our EBITDA are just about on plan. And yes, we see that’s an area, probably the one area where we have seen where we do rely on larger projects and those projects have been pushed out. When we teamed up with Mainland, we thought that we would have some of the big projects going by the end of ‘16. Now, it looks like it will be the end of ‘17 before they start and it might even be into early ‘18 before we see some real significant volume pickup there. But our team has been able to reduce cost and actually produce fairly good results despite the lack of volume.
Trey Grooms: Okay, thank you for that. And last one for me and I will pass it on. I guess, it was last quarter you guys highlighted the situation in Austin with a new entrant into the market there, I believe on the asphalt side of things. Can you talk about that situation kind of an update on any changes in the competitive behavior in that market, how that market is shipping up there given the new competitor?
Tom Hill: Yes, it’s significantly improved as the quarter went on. And actually, September was quite a good month for us in Austin. It’s still very competitive with on a relative new entrant that we certainly have stabilized our business and we would really see some meaningful improvement there going into ‘17. So, I would say we have stabilized, we got a great young team down there and it’s still competitive, but we are going to do much better going forward there.
Trey Grooms: Great. Thanks for the color. I will pass it on. Look forward to seeing you guys next week.
Tom Hill: Yes, thanks.
Operator: Thank you. Our next question comes from Bob Wetenhall with RBC Capital Markets. Please proceed with your questions.
Bob Wetenhall: Gentlemen, very nice quarter. Congratulations. Just wanted to understand in terms of timing of flows on shipments, seems like there is some weather issues in 3Q which you highlighted. I think those are well understood. How do we think about 4Q ‘16 and the first quarter of ‘17 given some pretty warm weather, especially in the first quarter? And then the other question I wanted to kind of put into a bigger frame is it’s been tough weather in the second half and there has been some delays in highway funding, actually turning into shovel-ready projects. So, in terms of thinking about volumes next year, do you have a good setup for significantly higher shipment levels given the fact that the highway funding might actually turn into actual road construction?
Tom Hill: Well, certainly, Bob. We are certainly optimistic going forward. Q3 was heavily impacted by weather. We have not seen outside of Vancouver really any significant delay in projects. There has been a low in Houston in major highway projects, but that was certainly signaled well in advance. Our business tends to be less reliant on large projects. We tend to have much smaller – in our residential business, for instance, it’s not really relying on larger orders and that’s pretty much throughout our U.S. businesses. We are not reliant on large projects. Certainly, the comps, we had a very good fourth quarter last year and a very good first quarter with great weather. I am hoping we will have great weather again this year. So – but they are definitely tough comps going into the Q4 and Q1, but we had good backlogs in our businesses. October was pretty decent and we are optimistic.
Bob Wetenhall: Thanks for highlighting the tough comps, that kind of makes sense. Maybe you could also explain a little bit your comments about the slide deck showing that Texas might be closed through the late stages of the cycle and how are you thinking about Texas specifically in ‘17 if that’s your perspective?
Tom Hill: Yes. When we say late cycle, we are really focusing particularly on the private construction market in Houston. We would see an uptick and a new cycle starting there and certainly some of the commentators and forecasting groups out there see an up-cycle starting in the second half of ‘17. A lot of that, I think at $45 or $50 oil, that will help the marketplace. So, our Houston business has held up remarkably well. We happen to be in the right place at the right time. As we – as our business in West Houston really focuses in the West and Southwest portion of the city and also our businesses is primarily into the low end starter homes and that market has stayed extremely strong. We have also been able to diversify somewhat into the light commercial business and also on our aggregate business without participating in some of the increased highway spending there. Overall, we see ‘17 as fairly stable in our overall Texas business. We will see some improvement in Austin. We had a superb year on our North Texas operation, which is in the aggregates, asphalt and pavement business. So overall, we see stable to maybe slightly up next year in Texas. So, it still – it’s a great place to do business and we are very happy with where we are in Texas.
Bob Wetenhall: That’s super comprehensive. Thank you. Just one quick question. If you guys could provide a little color on your acquisitions in the third quarter, Rustin, Johnson and Joel [ph] as well as Midland Concrete in 4Q, just kind of how impactful would these be and kind of what’s the outlook for the M&A pipeline? Thanks and good luck.
Tom Hill: Thanks Bob. Yes, these are all very value-added deals. There happen to be fairly small. The four deals, Rustin in Oklahoma is a great diversification of our RK Hall business, which is an aggregates, asphalt and paving contractor. This is a ready-mix bolt-on really fine business. R.D. Johnson is an asphalt plant and paving and construction service business in Lawrence, Kansas, where we have a significant presence with our Ham operation, which was our first acquisition back in 2009. And Joel was two terminals in Louisiana which will help improve the distribution network for our two world class cement plants in the Northern Mississippi. And then Midland Concrete is a really nice one plant bolt-on to our operations in Odessa, Midland. We are very optimistic about the Permian Basin. I think it’s probably going to be the best performing basin in the U.S. over the next 10 years. And this is a real solid infill bolt-on acquisition there. Our deal flow is really busy right now sort of across the spectrum. There are some pretty large option type deals out there, which we probably won’t be successful on as we weren’t successful in the two cement deals that were announced a couple of months ago. But our bread and butter anywhere from $10 million to $100 million proprietary negotiated deals, we are very busy on those and we would be very optimistic going into ‘17 that we will continue with the acquisition program that we have had since we started.
Operator: Thank you. Our next question comes from Kathryn Thompson with Thompson Research Group. Please proceed with your question.
Kathryn Thompson: Hi, thank you for taking my questions today. Wanted to focus a little bit on pricing, of the 7% increase in pricing for cement in the quarter, just once again, wanted to get your perspective on how much this is the addition of Davenport or product or just pricing appreciation from the price increase early this year?
Tom Hill: Yes. It’s very difficult to tell, because those businesses were so integrated, but we don’t really have a lot of data on that again, because the businesses were so combined. My view is it’s the price increase that happened earlier in the year, pretty much entirely due to the price increase that was pushed through in the earlier part of the year.
Kathryn Thompson: Thanks. And then on aggregates, a pretty big delta between the organic pricing and then the fully integrated pricing, is it correct to assume that the upside is driven by your acquisitions in the Virginia and the Carolinas market?
Tom Hill: Correct. Those are very high priced markets, had a big impact on the overall price level.
Kathryn Thompson: Excellent. And then do you have – and if you had mentioned this and I missed it, apologies on my end, but do you have an estimation as to the volume impact of weather in the quarter?
Tom Hill: Kathryn, I have never been smart enough to really have an exact opinion on that. It certainly was material. And I have always hesitated to put an actual volume or dollar impact on that. I think the other probably less, but still material impact is on the cost side. When it rains as much as it has rained, it really impacts productivity level in your aggregate locations. And even despite that, we improved our year-on-year cost in our aggregate locations. So I have always hesitated Kathryn, except to say that it is material, especially in the third quarter.
Kathryn Thompson: Okay, great. And final question, you have been able to do this in prior conference calls, but able to focus on end markets where you are seeing the greatest growth from a geographic standpoint, maybe put some parameters in terms of what type of growth you are seeing, so for instance, more color specifically around kind of your volume growth in your better growth markets? Thank you.
Tom Hill: Yes. I would touch on maybe a little bit different than what we have in the slide deck. But just say look in Vancouver, we have seen volume declines, but we have seen good pricing and good cost control. So the financial results there have been okay. In the Intermountain West, especially in the front range of Utah and in our new acquisition in Las Vegas, we had seen really good mid single-digit volume growth, very strong markets that we believe are really early cycle, both in Utah and Vegas. We think we had many years there of runway to get to mid-cycle, very strong markets, probably some of our strongest markets would be in Vegas and in Utah. The Kansas, Missouri, Kentucky, I would look at as our mid-section businesses there. Much more to stable, tended not have the ups or downs that we have had. These are really fine marketplaces that we do extremely well in. Kansas and Kentucky have – also had some funding issues on the highway side. Kentucky will shortly get better and it’s starting to get better now, it was just a delay in the passage of there biannual highway bill that will impact the overall ‘16 numbers, but [indiscernible] have been pretty good. Kansas is a bit more problematic. We have a governor there who tends to use the highway fund as the piggy bank to balance his budget. We see that possibly getting better next year. They said that they were going to reinstate the maintenance program that – which was about a $600 million program for next year, but I am not sure that I would count on that. Missouri, we have got a great business there and very extremely well run. The assets that we bought from Old Castle have performed extremely well. And we are very optimistic about those. But these are just overall these are low single-digit growth markets, but very solid performers. Our new business in Southern Virginia, the Boxley operations and then our operations in the Carolinas, the AMC and gravel business that we acquired earlier this year and also the Buckhorn quarry and sand and gravel locations just South of Charlotte are really flying, very strong. I believe it’s in the higher single-digit growth there. So really, we see that market is one that we would like to grow significantly and that’s been a real star performer. And then overall, our cement markets from Minneapolis down to New Orleans, mixed but good solid growth that were heavily impacted by rain this year, pretty much up and down the Mississippi had a huge amount of precipitation. We would see a return to growth in those markets in ‘17. The cement markets that we have announced, that $12 price increase, January 1 for Memphis and South and $12, April 1, St. Louis and North. There are various price increases out there from the other producers anywhere from 4 to 20. So we will see over the next few months where that shapes out as far as we expect for a realized price increase. But I think the cement markets are certainly in – as we go forward, some of the markets that we expect to see some real organic growth.
Kathryn Thompson: Great. Thank you very much.
Tom Hill: Thanks, Kathryn.
Operator: Thank you. Our next question comes from the line of Rob Hansen with Deutsche Bank. Please proceed with your question.
Rob Hansen: Thanks. I just wanted to get a handle on your implied 4Q guidance right, I think you have got in the slides around $380 million of pro forma EBITDA, the number for this year, if you were to use the same exact $90 million number from last year, that gets you to the bottom end, but you have added seven companies and I think seven quarries in total right, compared to last year, so is there anything timing related here that’s impacting the numbers in 4Q, I just wanted to get a handle on what’s going on there?
Brian Harris: Yes. Rob, it’s Brian here. As we mentioned, the more recent acquisitions, the ones that are noted in our deck today, they had a small amount incremental this year, more meaningful EBITDA from those will be derived in 2017 and beyond. So the bulk of the improvement that we have seen so far was from the acquisitions that we did early in the year Boxley, AMC and Sierra in April, Old Castle by the middle of the year. But the ones we have done late in the season will not add meaningfully to the 2016 EBITDA.
Rob Hansen: Got it. And then when you look at the volume growth that you are getting from the acquired companies this year, it seems pretty strong, what would those be on like a pro forma basis, just to kind of get a flavor for that?
Brian Harris: I don’t think we have that data off of the top of our heads here, Rob. We will get to that. We just don’t have that in our information here.
Rob Hansen: Okay. That’s good. I will follow-up later with that. And just on the free cash flow generation, it seems like it’s a pretty strong so far for this year, what are you kind of thinking for the full year, I know 4Q tends to be a good number for that?
Tom Hill: Yes. We should end the year with approximately $90 million to $100 million of cash on hand from where we are today. I think as we speak, we are at about $64 million right now. So as you know, the second half is typically a strong cash generation period for us as we collect our receivables and inventory winds down a little bit towards the end of the year. So we would expect a continued strong cash generation in the fourth quarter. Also, it’s somewhat stronger quarter for our CapEx. As you know, we tend to spend our CapEx in the first half of the year as we get ready for the start of the season. So yes, we will expect that to continue on the current trends.
Rob Hansen: Got it. And then just related to the CapEx on Slide 13, it looks like the maintenance CapEx, it looks likes significantly higher than in 2015, just wanted to get in terms of what the drivers are, is this just timing or were there some specific maintenance projects that were happening in 2016 versus other years?
Tom Hill: I think this growth is still approximately the same, it’s 75% or so is maintenance, just slightly higher based this year, the bigger impact that was actually not in the maintenance projects, but on the cost reduction and capacity expansion projects. We have done a number of those throughout this year, that happened to be quite a few primarily aggregates related plant upgrades and new plant installations that we have put in place. So we do have an elevated level this year. By the end of the year, we will probably be down to about 9%ish of revenue, so again slightly elevated, but mainly and not so much on the maintenance but actually on the capacity expansion and cost reduction projects in our aggregates facilities.
Rob Hansen: Got it. Thanks, guys.
Tom Hill: Thanks, Rob.
Operator: Thank you. Our next question comes from the line of Brent Thielman with D.A. Davidson. Please proceed with your question.
Brent Thielman: Hi, good morning.
Tom Hill: Good morning.
Brent Thielman: On the public spending pressures in Kansas and Kentucky, I know you guys have raised these factors before. And I am just trying to put these in kind of context of your business. Do you feel like you have seen most of the impact already and we should start to lap some tough comparisons in the coming quarters there is a little more I guess to come here in the year end first half of ‘17?
Tom Hill: I think we have seen the worst of it certainly in Kentucky. Kansas is still, I would say, an open question. Our Kentucky business should certainly see some improvement next year as lettings are fully distributed through the year instead of we had 3 or 4 months where there were virtually no lettings earlier this year. Kansas, it’s like I said, it’s a very hot political issue there. And there is lots of pressure to reinstate some of the funding, but it’s pretty much – it’s pretty much an open question on where that turns out, but it’s not going to get much worse, it’s – and the good part for us is that in Kansas, it’s not a huge part of our business. We are actually in our two business units there. We are actually having some good years overall pocket wise. And again, I attribute that to our teams there really focusing on price and cost management. So, I think going into ‘17 combined in those two markets, we will definitely see some improvement.
Brent Thielman: Okay, great. And then Tom is it fair to say these are kind of really the only two markets where you have seen something kind of the domestic redeveloping from the public infrastructure standpoint?
Tom Hill: Yes, I think that’s right. We are going to see some real improvements in Iowa as that gas tax increase kicks in. We are going to see continued improvements in Utah. We are going to see really I think some very interesting increases in Texas as Prop 7 starts to hit I think at the end of next year. So, I think those are the only what I would say soft spots in our public outlook.
Brent Thielman: Got it. Okay. And then just on the dip in asphalt pricing, is that a product of lower mix costs or some geographic shift?
Tom Hill: It’s mix. It’s just as price is a very poor indicator on the asphalt business, because liquid asphalt sets a large part of the cost structure and depending on which asphalt is best in the job can have a very large impact on the selling price, but not on the margin. So, our margins actually improved in asphalt year-to-date and so the selling price is just a bad indicator in that business.
Brent Thielman: Okay, I understood. Thank you.
Tom Hill: Take care.
Operator: Thank you. Our next question comes from Scott Schrier with Citi. Please proceed with your questions.
Scott Schrier: Hi, good morning. Thanks for taking my questions. First, I wanted to ask on the leverage. So, it looks like you are doing a good job to reach that goal of 4x by the end of the year. What happens after we hit that? And going into next year, you guys are actually generating some good cash flow. And I know Tom, in the past you said on the acquisition front, you are more of a single than a doubles hitter, but you mentioned earlier in the call you were unsuccessful maybe on some larger projects. So, how do you balance where do you think you want to go with leverage to looking at your acquisition pipeline and maybe looking at larger acquisitions versus more of these small bolt-ons?
Tom Hill: Yes, we always focus on those small value-added bolt-on acquisitions the ones that we certainly get the biggest bang for the buck. And we really focus on where we think we are in the cycle and what our appropriate leverage is given where we are. And I am very comfortable with the leverage we have now as we really believe that we are in the early innings of this construction market recovery. And when we look at individual deals, we really do focus on where we are in the cycle. We have looked at some deals recently and two great markets Denver and Austin, for instance. Great markets, would love to be in them, but you have to be very helpful what you pay, because I personally think that both those markets would be at mid-cycle or very close to mid-cycle. And that you are not going to see much overall improvement from where they are. Now they are at great levels and I wish we have been in both of those markets 4 years ago, but we didn’t. So we really do pay attention both on the micro and the macro level exactly where we are in the cycle and that dictates where we should be as far as leverage goes. If we see that we are – that the cycle is getting long in the twos we certainly will be de-levering in that scenario. But we don’t see that right now. We see the market. We think we have years ahead of us in the Intermountain West. We see the Vancouver business where some of big infrastructure projects coming back. We see Texas with good underlying highway business and we see our Houston business really almost at the end of its cycle and should be beginning a new up cycle by the end of next year. So you really have to combine leverage with where you are in this cycle.
Scott Schrier: Got it. Thanks. I appreciate that color. I might follow-up, I wanted to ask, so it seems like the AMC, Boxley regions and Utah are two of the strongest growth regions you have, it looks like the one on the weather that you pulled out, Utah looks like it had pretty favorable weather, so how do we think about Utah going forward, I know there is a lot of growth opportunity there, might we see some headwinds insofar that we had some demand pull forward this year thus far because of favorable weather?
Tom Hill: Possible, but if so, it’s not going to be very meaningful that the Utah – especially when you look at the front range, we are still well short of pre-recession housing levels. I think we are 50% to 60% of pre-recession. So the recovery in Utah really only started about 18 months ago, whereas again, if you go just over the mountains, Denver started about 4 years ago and is much further along in that recovery. And that’s why I really believe that the front range has a number of years of growth coming to get to mid-cycle.
Scott Schrier: Got it. And if I could ask one more, I wanted to ask, there has obviously been a lot of discussions in the past couple of quarters on the Vancouver project and now looking forward, how do you think of selectivity when it comes to bidding on your projects, whether – maybe it’s not worth taking the higher volume project that might come in with some lower margins, how do you think about that?
Tom Hill: Well, Vancouver is an interesting market and we are logistically set up. We service that market by barge from a very large quarry up Fraser River. And logistically, we are in a great position on several of these large infrastructure projects. So I believe we will be the preferred supplier on a large volume projects coming, but I don’t think we will have to be low priced in order to be the supplier just because we are logistically advantaged.
Scott Schrier: Got it. Thanks. I appreciate you taking my question and good luck.
Operator: Thank you. Our final question comes from the line of Stanley Elliott with Stifel. Please proceed with your questions.
Stanley Elliott: Hi guys. Thank you for taking my question and congratulations on a quarter, first question for you, when we start thinking about – first off, I guess on the acquisitions, on these four acquisitions, have they been consumers of your aggregates and your materials or are these kind of new outlets for you from a distribution standpoint?
Tom Hill: They are new outlets. They were supplied by the other aggregate producers.
Stanley Elliott: Great. And then when we think about kind of the CapEx piece, does it return back to 6% to 7% kind of next year or are we going to be looking at another year of higher capital spend?
Tom Hill: I think it comes down a little bit next year, it might not get to the long-term run rate of 6% to 7% that we look to target, but I would think we will see a meaningful reduction in the overall spend and that percentage should move down, but maybe not exactly to the 6% to 7% range.
Stanley Elliott: Great. And then last one for me. On these – the aggregate expansion projects that you guys have underway, are they all shipping material now or is that going to be more of a 2017 event. And I guess the expectations from that would be that the incrementals will be significantly higher than when they started, is that fair?
Tom Hill: For the most part, they are shipping now. Many of them were completed in the first half of the year, just precisely for that reason, to cope with demand in those higher volume areas.
Stanley Elliott: Perfect guys. Thank you very much and best of luck.
Tom Hill: Thanks.
Operator: Thank you. There are no further questions at this time. I would like to turn the call back over to Mr. Hill for closing remarks.
Tom Hill: Thank you, operator and thanks everyone for your interest in Summit Materials. And we look forward to giving you our strategic outlook and more information on our investment thesis at our first ever Investment Day in Houston on November 15. That concludes our call. Everyone, have a good day.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation. And have a wonderful day.